Operator: Greetings and welcome to the Park-Ohio Holdings' Third Quarter 2014 Results Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder this conference is being recorded. It's now my pleasure to introduce your host, Edward Crawford, Chairman and CEO. Thank you, sir. Please begin.
Edward Crawford: Good morning, ladies and gentlemen. Welcome to the third quarter 2014 conference call of Park-Ohio Holdings. I would like to introduce Scott Emerick, Chief Financial Officer of the company, to review the Safe Harbor statement. Scott?
Scott Emerick: Thank you, Ed. Good morning everyone and thank you for joining us today. If you have not received a copy of our earnings press release, you can find it on the Investor Relations section of our corporate Web site at www.pkoh.com. I want to remind everybody that certain statements we make on today’s call, both during opening remarks and during the question-and-answer session, may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings press release as well as in the Company’s 2013 10-K filed with the SEC on March 14, 2014. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the company may discuss as adjusted earnings and EBITDA as defined. As adjusted earnings and EBITDA as defined are not measures of performance under Generally Accepted Accounting Principles. For a reconciliation of net income from continuing operations to as adjusted earnings and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA as defined, please refer to the company’s recent earnings release. Any references we make to earnings per share are on a fully diluted basis. Back to you, Ed.
Edward Crawford: Thank you very much, Scott. We will begin the call today with a review of our operations by Matthew Crawford, the President and Chief Operating Officer with the company. Matthew?
Matthew Crawford: Thank you very much and good morning. Happy to report that we set a couple of new records in the third quarter of 2014. We established new quarterly revenue record of $345 million or revenue and we established a new record EBITDA as defined, totaling just under $36 million. Earnings fell slightly behind our internal plan, largely due to an electrical fire earlier in the third quarter at our Arkansas based forging facility and the deferral of the completion of several projects in the industrial equipment business into the fourth quarter. Specifically, our as adjusted earnings increased 24% from $0.93 per share in the third quarter of 2013 to $1.15 in the third quarter of this year. Turning back to revenue. Net sales increased 13.5% to a record $345 million compared to $304 million last year. The revenue increase is attributable to volume increases in the supply technology segment and the assembly component segment, slightly offset by volume declines in our engineered product segment. Approximately one-third of the revenue growth is attributable to acquisitions and two-thirds of the growth are due to organic growth efforts. Gross profit increased $6 million to $60.6 million in the third quarter. The gross profit margin of 17.6% in the third quarter which is 50 basis point reduction compared to last year. The decline in gross margin is largely due to a change in the sales mix between comparable periods as the higher margin engineered product segment was a smaller percentage of consolidated sales in the current year. Consolidated SG&A expense of $34.2 million increased $3.1 million or 10% compared to 2013. But SG&A expenses as a percent of net sales decreased 30 basis points to 9.9% in 2014 as compared to 10.2% in 2013. The increase in SG&A expenses is attributable to the $1.9 million of incremental SG&A costs associated with acquisitions and $1.7 million of foreign currency exchange losses related to non-permanent and inter-company loans which I will discuss later. Interest expense of $6.5 million is comparable to the prior year and our effective tax rate for the third quarter of 2014 was 37.2%, and was higher than the third quarter of 2013 tax rate of 29.8%. The increased tax rate in the third quarter of 2014 over our previously forecasted tax rate was due to a shift in the composition of earnings from international to domestic and some unfavorable discrete items in the quarter. We are now forecasting our full year 2014 effective tax rate to come in at approximately 35.3%. Now let's look at the segments. First supply technologies. Supply Technologies revenue represented 42% of consolidated revenues during the third quarter. Revenues increased $27.5 million or 24% over the prior year and totaled approximately $143 million. Approximately half of the revenue increase over 2013 is directly attributable to the fourth quarter 2013 acquisitions of Henry Halstead and QEF, and the June acquisition of Apollo Aerospace. The other half of our growth in the third quarter, however, was a very strong organic growth which contributed 12.4% of the year-over-year revenue increase. This growth was driven broadly with a especially strong performance in heavy duty truck, HVAC, power sports and recreational equipment, auto-related and semiconductor. Not only were these key markets up year-over-year, but revenues were up slightly sequentially as heavy duty truck and semiconductor continued the momentum that they had achieved in the second quarter. And power sports and recreational equipment increased 11% sequentially. We remain encouraged by the continued growth and momentum in these well diversified markets of supply technology. With the increase in net sales, segment operating income increased $2.7 million or 28% to $12.2 million. Segment operating income margin was 8.5% in the third quarter of 2014, which was a 30 basis point improvement compared to the prior year’s third quarter segment operating income margin of 8.2%. On a sequential basis, operating income margins improved to 110 basis points. The improvement is attributable to increased operational leverage as a result of the sales growth, solid expense control, focused pricing strategies and increased sales of proprietary products. Now let's discuss the assembly components segment. Assembly components revenues represented 35% of consolidated revenues. Net sales increased $15.5 million or 15% to approximately $122 million compared to 2013. Almost all of this growth is attributable to the organic growth in our aluminum business on the strength of our new program launches. The Jeep Cherokee platform continues to perform very well for Chrysler and is a key driver to our growth. On the strength of the new program launches secured in the aluminum business, aluminum revenues increased 36% year-over-year. As I am sure that you saw in our October press release, we are very excited by the acquisition of Autoform Tool & Manufacturing company, or Autoform for short. This business is a strategic fit with our investments in Fluid Routing, RB&W and General Aluminum which are centered around technology which is focused on reducing CO2 emissions and increasing fuel efficiency. We expect the revenue contribution for Autoform to be in excess of $70 million for 2015. In the third quarter of 2014, segment operating income grew $3.4 million to $11 million which was a 45% improvement over the prior year. Segment operating income margin was 9% which exceeded the 7.2% in the prior year. The rubber extrusion business and aluminum business are the drivers for this improved profitability and the improved margins. As we projected, margins are improving in the aluminum business as our experience with the program launches grows. In addition, we expect Autoform to provide operating income margins that will increase the overall margins in the segment. Now let's talk about engineered products segment. Engineered products revenues represented 23% of consolidated revenues. Net sales decreased 2% to approximately $80 million in the third quarter compared to the prior year. Our forging business revenues declined in the third quarter of 2014 due to declining demand of military aerospace and mining industry forgings. Revenues in the industrial equipment business for the third quarter of 2014 were very comparable to the revenues in the third quarter of last year. While third quarter revenue recognition was slightly less than we were forecasting, we continue to forecast a very strong fourth quarter as the assembly and shipment of some very large orders is firmly expected to be completed. The order activity in the industrial equipment business continues to stay on a roll. The order bookings and backlogs have improved further since the quarter earnings teleconference. Specifically, order bookings in the capital equipment portion of the business have increased 79% for the first nine months of 2014 compared to the first nine months of 2013. And backlog as of the end of the quarter is 74% greater than it was at September 30, 2013. This order backlog sets up a strong 2015 for the industrial equipment business. This is a nice offset to some of the weakness we are seeing in our forging business. I would also like to note that aftermarket revenue in the industrial equipment business were flat in the third quarter compared to the prior year. Segment operating income decreased $1.2 million or 9% to $11.5 million. In addition, segment operating income margins decreased to 120 basis points to 14.4% in the third quarter of 2014 compared to 15.6% in 2013. On a positive note, segment operating income margin improved 80 basis point sequentially. As it relates to the industrial equipment group, we expect as discussed earlier, the fourth quarter will show a substantial improvement in revenue recognition and the related earnings in what is one of our highest margin businesses. Let me take a moment to comment on corporate expenses in the third quarter which totaled $8.3 million and exceeded the prior year corporate expenses by $2 million. Included in 2014 corporate costs is $1.7 million of currency exchange losses related to intercompany loans that I mentioned earlier. These intercompany loans were established to fund our European acquisitions with existing international cash. The intercompany parties have two different functional currencies the U.S. dollar and the British pound. It is our goal to use the operating cash flows of the acquisitions to payback the loans over time. Because these loans are not permanent loans, accounting rules require that any currency gains or losses must be taken against the income statement rather than housed in shareholders' equity as a currency translation adjustment. As you know, the U.S. dollar significantly strengthened against the British pound on the third quarter which created large paper currency losses on these intercompany loans in British pounds. Absent these non-cash currency exchange losses, our corporate costs would have been very comparable between the two years. Next, I would like to a moment to highlight cash flows for the first nine months of 2014. As we projected, operating cash flows bounced back in the third quarter with $19 million of operating cash flows generated in the quarter to total $33.5 million for the first nine months. We are projecting another $20 million to $30 million of operating cash flows in the fourth quarter depending on the timing of year-end shipments and collections. The net capital expenditures were $1.6 million in the third quarter of 2014 and $13.9 million for the first nine months. While we still have projects in the queue that support our full year capital expenditure forecast of $26 million, we now believe that some of the spending will be deferred into 2015. Within our businesses, we still continue to see positive trends for North American manufacturing. The growth prospects for supply technologies, automotive industry momentum and even stronger backlog in the capital equipment business. Furthermore, we continue to evaluate new opportunities and strategic fits like Autoform that can bolt on to one of our existing businesses. While we remain proud of the growth that we are accomplishing in 2014, we are adjusting our forecasted guidance for the rest of the year to match our current outlook. As a result, we are now forecasting our as adjusted earnings range to grow 13% to 18% in 2014 to $4.12 to $4.32 as compared to adjusted earnings last year of $3.66. Please refer to our earnings press release for a reconciliation of net income from continuing operations to as adjusted earnings as forecasting for this year. I would like to lose by mentioning two other important transactions that were completed in October. In conjunction with the Autoform acquisition and potential acquisition opportunities for the future, we amended our credit agreement to increase the aggregate domestic revolving commitments under the credit agreement to $250 million. Increased the term loan up to $35 million, subject to securing satisfactory equipment appraisals. And increased advanced rates on eligible inventory to provide for approximately $22 million of additional credit availability under the revolving credit agreement. In addition, we increased our Canadian-European sub-limits to $25 million each. This amendment will provide flexibility for us as move into 2015. Secondly, we announced a quarterly dividend of $0.125 per share, which will be paid in the fourth quarter of 2014. Thank you, very much. I will turn it back over to Ed. Edward Crawford Thank you, Matthew. Great report. I would like at this point in the conversation at the call to turn it over to all the attendees on the other side and for questions.
Operator: (Operator Instructions) Our first question comes from Ajay Kejriwal from FBR Capital Markets. Please proceed with your question.
Ajay Kejriwal - FBR Capital Markets: So maybe if I can start on Autoform. It sounds like a very nice acquisition. So maybe give us a sense of the valuation, either if you can give us a metric or maybe in relation to the deals that you have done in the past?
Edward Crawford: Well, it fits right into the criteria that we have utilized in all our acquisitions. So there is no real change. And we feel that this is particularly a unique opportunity. I think Matthew touched on it. We have had a long-term view of the auto industry and how to participate in it. We were in their early with the concept of reduction of weight in the cars with our aluminum business. We followed that up with a deep dive into the induction or turbo--charging aspects of it, which has worked out very well. And of course, this is about gas injection which ultimately reduces the gas mileage -- increases the gas mileage in the car and decreases the pollutants put into the atmosphere. So this is our investment in autos, the more efficiency of the auto industry. The reduction in the number of engines that are being manufactured. That’s going down. This is a terrific opportunity because it fits in perfectly with our strategy here. And participating in that aspect of the efficiencies in reduction of weight but also it introduces us to some big relationships with transplants and we like that aspect of it. But there is not -- acquisitions as I indicated in the last call, they are difficult to do, take a lot longer. And we were able to accomplish this one but we did not reach outside our normal platform in disciplines in acquiring the company. So we have given you the revenue side of it but I think Matt implied that this will probably be (indiscernible) be a revenue that will not only grow rather dramatically, we hope. We think it's great for the next two or three years. More important, should have great margins. So we like the transaction and it's a great one. It's right here in Indiana. So everything we like about it.
Ajay Kejriwal - FBR Capital Markets: Good. And it sounds like you have got some new relationships with the transplants. Does that help with the your businesses with FRS and General Aluminum. I imagine it does. So maybe just talk a little bit about the revenue synergies and if there are any cost synergies over the next, say 18-24 months?
Edward Crawford: Well, in our -- the final part of the due diligence, we visited with the top four accounts involved with this company and two of them are transplants. And really it was quite obvious to them, this is the first time that they really heard how deeply we are involved in the aluminum side of the business. So the aluminum, that got a lot of attention in it, in the factory and the turbo-charging business that got attention. So they are like a company like ourselves. They are investing in the areas where they are. These are the major tier ones in the country and all the international scope, they are really excited to hear about. It's interesting when you run into a company as sophisticated as some of these companies are. When they start looking at the fact that we are operating. We are in the fuel systems in China. We have platforms all over the world. And they are convinced that we have made the investment and have the ability to manufacture products for them around the world in the areas in the markets we are in. So this is as exciting and we are committed to this as the idea that the aluminum would grow, grow, grow. It's taken us long time, Ajay. We talked about the aluminum business for a long time. It's finally, we are starting to move and it will not stop. I mean we are in the right place at the right time and the right intersection. The aluminum is going to up. There is less competition, there is more aluminum needed for safety, critical parts. And when you are selling into this industry, especially in -- we don’t have to worry about as many -- we don’t have to worry about platforms here. Everyone is going to use gas injection. There is not a lot of people in this business. So it's not likely to go on one engine. It's going to go on all engines. So we are excited about it.
Ajay Kejriwal - FBR Capital Markets: Maybe touch on industrial equipment business a little bit. Backup upgraded nicely. You talked about 2015, good outlook there. Maybe you can give us a sense on the deferrals, right. So there were deferrals in the quarter. What that was and then maybe size that for us and how to think about the fourth quarter?
Matthew Crawford: Ajay, it's Matt. How are you. Good morning. Well, first let me point out that there is kind of two types of deferral that go on in this business. The first is, and we have mentioned it throughout the year, we have seen a ramping up of the backlog a little later in the year than we expected. So that has caused us to have confidence in our ability to meet our goals, but watching less time for execution because sort of par for the course as the year went on. The proof in the pudding for over the next year is the size of the backlog. But that doesn’t always help as it relates to quarterly cutoffs. So that’s the one type which is challenging to measure. The other part is the percentage of completion rules. You are dealing with a methodology of accounting that can be extremely volatile relative to how and when revenue recognition is done. And that’s a challenge for us to because that could be instrumental in demonstrating a -- we can tremendous amount of progress on meeting the goals towards the shipment date and if it doesn’t ship or a particular component doesn’t come in, it can create undue volatility in our accounting number. So we believe that a substantial amount of both our order backlog has been sort of built into the fourth quarter. We also believe a big chunk of that backlog is in the fourth quarter, we believe. We also believe the accounting rules will recognize a lot of that. So it's not to say we haven't been busy as heck in the third quarter. We just may recognize more of that revenue as we receive important components. As we reach particular assembly milestones. So there is a little bit of disconnect candidly in my mind, Ajay, relative to the amount of work going on in our industrial equipment business during the third quarter and the way the revenues is going to be recognized. So I don’t want to leave anybody with the impression that we just expect a lot of business to appear out of thin air in the fourth quarter. This has been a trajectory. This business has been on for a number of months. So recognizing where those jobs are, how they are progressing, what the ship dates are, when key components are being received, has given us some confidence that the fourth quarter is going to be our strongest quarter of the year. So it's a bottoms up approach, I guess, is what I would say, relative to how we have looked at it and how we expect the fourth quarter to shake out. Having said that. It is always the riskiest part of our business because the operating people run this business to build good equipment and ship it to their customers when they need it. And accounting cutoffs are not necessarily what dictates their work schedules. So there is always a little bit of risk to the upside and the downside, Ajay. I know we have seen the downside lately but there is risk to the upside too when things go our way. And as volumes build, I would hope that we would see more of that. But right now all I can tell you is we have lot of faith in the fourth quarter to be our strongest quarter of the year. And the other thing is we feel very good going into 2015 with some of the biggest backlogs that we have seen over the last 10 years.
Edward Crawford: Ajay, this is Eddy. This has historically always been the company with the highest margins in the portfolio. And this is not a volume or a margin issue. Matt has point out, the backlogs are incredible and we are going to have to be patient. It's difficult for us to sit here. But we have tremendous confidence in this division, it's profitably, the value to Park-Ohio and the potential of international growth. Okay. So there is no lack of enthusiasm for this division here at the company. They are run by good people. It's a solid situation. And the next time we talk, the numbers will reflect that. So we feel very good about it. We think short-term and long-term, this is a great business.
Ajay Kejriwal - FBR Capital Markets: And that’s great to hear. Thank you for all the color. Maybe one last one before I pass this on. Matt, you talked about the puts and takes in fourth quarter. It sounds like setting up to a very nice quarter. Then when I look at the guidance, you are kind of implying a $0.20 range month and half into the quarter. So maybe just some color on what's the delta low-end versus the high-end. You know any things you want to highlight as to the variables that are still out there that could get you to near the high-end versus the low end.
Matthew Crawford: You know, I wouldn’t -- Ajay, I wouldn’t really go there. We felt the need, to your point, sitting here in November to narrow the range of it. To try and provide a little bit of more focus on what we expected. But once again you know better than anyone. Given our low share count and our relative high sales per share, it's tough business. So I wouldn’t read anything into that range other than that’s our most educated estimate at this juncture.
Ajay Kejriwal - FBR Capital Markets: Excellent.
Edward Crawford: You know we would like to exceed these numbers, of course. And you have seen the numbers that we usually issue as guidance and you have seen the numbers that are out there by our very intelligent supporters that are righting the research. So nobody wants, we don’t want to sit around over here and miss it by $0.02, so we are going to do the best we can. Okay. And I wish we could give you more but don’t think for a second that we are not there aware of the fact that we would like to meet the expectations, our own expectations, to the expectations of others.
Operator: Thanks. Our next question today is coming from Steve Barger from KeyBanc Capital Markets. Please proceed with your question.
Steve Barger – KeyBanc Capital Markets: I just want to follow-up on Autoform. You talked about fuel efficiency technology being a growth driver. Can you talk about how competitive that landscape is and does Autoform have a technology or competitive advantage that kind of sets them apart.
Edward Crawford: Well, yes. The company started as a tool company in Indiana by a gentleman's father. And he was really in the tool business for many, many years. And they were asked by a very very large German company to develop the tooling around the concept of this gas injection. Basically the gas injection, without getting too technical, is the gasoline comes up and it goes into the cylinder heads, and think of it going in like an eye dropper. When you drop it in there, it explodes and that drives the car but it doesn’t burn all the gas when it explodes. Okay. This is a process in which the tooling you develop, it's like a shower head. It comes out of the tank, there is no carburetion, it's a little spray heard on top of each of the cylinders and it sprays in there the vapor. Gets to literally a hundred percent of the gas. So as those pollutants are going out, it increases the gas mileage. So very very efficient. The backed from tool manufacturing into supplying because they were approached by numerous companies. So they went into manufacturing of this business. And so they are the founders, one of the founders of the concept, okay, along with some very very big people pushing them. So we have an edge because we have built all our own capital equipment. And we are on the closet for the top of the engineering. So if there is going to be any change, they have been working with the full development now on this for three or four years. And quite frankly, the company got sold to us. It was never in the market in a bidding process. It was sold by a family to us. They wanted to make sure that -- they have got a lot of family in the business. So this was not marketed. We were one of a kind, one up. And I think we did very well on this acquisition. But the strength is, we build our own tooling, our own technology, own engineering. And that gives us, if we and when, we expand this business, which we will internationally. You can do it because you produce all your own capital equipment. So it's in-house built. So that gives us a real edge on changing technology as we work with the big suppliers and this changes and that change. So we are here at the right spot, at the right time. The customer (indiscernible) is incredible. And next three years or four years in this business should be very exciting.
Steve Barger – KeyBanc Capital Markets: That’s good. I understand the building your own tooling and having that technology definitely can be competitive advantage. Some of that the stuff is highly precise. The risk of course is maintaining those capabilities in-house. So is management staying, is the engineering staff on board? How are you going to make sure you keep that competitive position going forward?
Edward Crawford: Well, when you are buying a company from someone that decides that he's going to sell it primarily because he thinks he is selling it to one family, the Crawfords. And he leaves his brother and his three sons behind in the business. Okay. And they are all engineers so we haven't lost a beat here. This gentleman just did not want to take it to the next level and commit the working capital and everything else that he was signing firstly on it. It was a very very interesting transaction from the standpoint, we have carried everyone. And no one is going anywhere because they are really embedded in it and it was a unique transaction and based around the fact that we needed the team. And so Matthew has been older, not too different in age from Matthew. So it's a great transaction. We got a lot of good things happening over there.
Steve Barger – KeyBanc Capital Markets: That’s great. Is this primarily an OE business or is there an aftermarket component?
Edward Crawford: OE, it starts there. But keep in mind, we built all the tooling. Will it be an aftermarket, ultimately there will be an aftermarket because (indiscernible). But we are not aiming at that. We are going to have our hands full just keeping up with the four-five customers we have. I mean like Apache and so. (indiscernible) you are there. It's how many pieces we can get out and interesting we go China.
Steve Barger – KeyBanc Capital Markets: So my next question is more of a thinking broadly. You have a model of buying good businesses in attractive niches. Now you are getting bigger in terms of the companies in the portfolio, in terms of the manufacturing techniques that you have in-house and the geographies that you operate in. Is there anyone at the corporate level who is looking at ways to spread best practices across the organization and look at the product set to make sure you are getting. Deeper penetration to the existing customers and really leveraging all the expertise that you have in-house now.
Matthew Crawford: Steve, hi, it's Matt. How are you? Going back 4-5 years, we began to reorganize our business. We are obviously, extremely committed to the de-centralized structure. But having said that, we also reorganized the business into six business groups. And the six business groups are largely, while very diverse and have very different customer bases, we have put businesses in acquisitions inside of those business that have the type of leadership and the type of human resources that can share best practices, that can share revenue opportunities, cost side advantages etcetera. So while we don’t necessarily do it at corporate per say, we do it within our six different business platforms.
Steve Barger – KeyBanc Capital Markets: Got it. So this is not just about buying a company like Autoform because it has great technology and a good customer exposure but you are leveraging the unique characteristics of that across the platform.
Matthew Crawford: Yes, I mean if you look at our assembly components group which is really two businesses but essentially on to the same leadership, you have got all these platforms and all these resources that are available to each other. That is a newer organizational structure over the last four or five years. So I think we are still scratching the surface. But I can assure you one of the most sustained and important conversations we had with the Autoform team was some of the opportunities throughout, the assembly components group in particular, for them to share some of their process technology skills. So, now we are focused on that from an organizational standpoint. We are also focused on it from a leadership standpoint.
Edward Crawford: Yes. Steve, we think about this a lot. As you know we are trying to move towards being to our customers. You know internationally diversified industrial manufacturing company. Supplying them goods around the world. And I will tell you that I was absolutely -- very very pleased with my visits to these new Apache particularly, and others, in which they embrace the whole idea that we were a company that had this ability and it was portable. And if they need us, we can be there. We are already in Japan. We are already in China. So they look at us as a new resource and one that’s developing. And the whole concept of following customers and being important. We just got ourselves to the business. You cannot kind of adore Apache for ten years and never get past the front -- they leave you outside. I mean this is -- all of a sudden you become a key, key critical supplier to them. It gets your attention. And they will follow us because they need good suppliers and they want to be part of it. And they have got a big investment with us and we surely do. And then you are talking of people like Delphi, you are talking about the -- you are talking about every key tier 1 who are interfacing with here in a very very important way. When you go with them, it's probably how companies show up and say, I am here. I'll tell you I am retired, I just sold a company to Ed. I mean that’s the way he talks. And the net result is, they take a deep breath. Because they are not going out tomorrow and getting someone else to do this. So it's exciting but I will tell you it's patience. But this is a really, I am not trying too excited about this, but this is terrific opportunity for our company to participate in the auto industry around the world with products that are going to be used more of. More aluminum, more turbo-charging and more gas injection. And that’s the strategy in that particular unit but we have got other units. But this concept of diversification, international capabilities, follow the customer around the world, we are fitting into that slot.
Steve Barger – KeyBanc Capital Markets: I agree. It's a very exciting time for that segment for sure. Two more questions and I will get back in line. You mentioned focused pricing strategies being a contributor to supply technologies. Can you talk about how much that added to the year-over-year margin expansion and are there more positive price actions ongoing?
Matthew Crawford: We would rather not get specific other than to say, it would be material to our raw margin for the year and the year-over-year improvements. To be more specific and talk about the opportunity going forward, you need to drop back and understand that one of the things that makes the supply technologies business great, is the stickiness related to a relationship when are managing half of the building materials. Or managing 2000 or 3000 different part numbers. And these are part numbers, as you know, that can have significant churn. Maybe 5%, 10%, 15%, 20% at some customers or more, can churn in a given year. So there is constantly evaluation going on relative to pricing and repricing of items. With such a small average order size, with such significant churn, with such huge part numbers, the discipline and the IT and the leadership around indicative pricing and making sure that we are not selling things at negative margins, is really institutionally very important. In the other business it doesn’t happen, right. You have got a couple of dozen contracts that matter to General Aluminum that you out and price and you execute. You got a handful to ford through. You do a job by job in industrial equipment group. Supply technologies is a business of pennies and details. So we I think are a leader right now in using I think cutting edge software techniques and sort of big data solutions combined with a team and a great guy here at the company that provides sort of indicative pricing to make sure that he can stratify current or old parts and see if we are optimizing margins. And I don’t necessarily mean getting huge margins, I mean in the cases where maybe a small part is outdated, has negative margins and need to be updated. So I guess this is not just a onetime thing. This is a strategy that our company has embraced as it relates to managing 100,000 active parts and it has been meaningful and material to our increase in profitability.
Steve Barger – KeyBanc Capital Markets: That’s a great answer, Matt, thank you. And next, lot of focus on assembly components in terms of the aluminum programs ramping and which programs you are on, which platforms. The revenue is basically flat sequentially. Can you talk about the moving parts in that segment in terms of what the headwinds and realistically should we expect sequential increases in revenue? Not just in 4Q but going into next year excluding the acquisition?
Edward Crawford: The answer is, yes. Okay. I can take hours talking about it. But the aluminum business is a little chunky the way its unfolding but is coming and it hasn’t stopped coming. The [Cherokees] (ph), we are having a hard time keeping up with that. Even the guard sales are picking up and that a complete crisis for a while. But you are going to see this aluminum business keep growing. It's in the backlog. It's on its way. The margins are going to get better. The plants are starting to really get up to speed so there will be growth in that business each year for the next three years. And I am not talking about it's there because we have the order. It's big. We are rolling out a platform that will come out in late '16, that’s $50 million a year, one part. So it takes a long time to get ready to do $50 million in business per year. And you can imagine that company had done it -- we are single source. So it's a terrific opportunity and the aluminum is coming as fast as it possibly can.
Steve Barger – KeyBanc Capital Markets: And when does that one program launch, Eddy? I missed it if you said it.
Edward Crawford: It really starts in '16, the full speed is in '17. It's the new 10-speed transmission.
Steve Barger – KeyBanc Capital Markets: Right. Got it. Okay. And last question I promise now. You had a $1.7 million FX charge on the intercompany loans in 3Q. I think the dollar has strengthened a little more since then. How much of a guidance reduction or the change in the guidance is related to that one item in 4Q prospectively?
Scott Emerick: Yes, Steve, so the total intercompany loans in British pounds are 19.1 million British pounds, to give you an idea of the size. But our guidance that we have given you is as adjusted guidance. When you look at the reconciliation in the earnings press release, we are adjusting out the impacts to date for the FX and we haven't forecasted any change for Q4 in that guidance. But we adjust it, good or bad, come up with earnings with adjusted range that we gave of 412 to 432.
Steve Barger – KeyBanc Capital Markets: Got it. Thanks, Scott. Thanks, Matt and Eddy and good job.
Matthew Crawford: Steve I can't help but I know you know this, but I can't help but say it again. Obviously, one of the reasons we feel comfortable adjusting that is because it's a non-cash event. I know you know that but I got to say it again.
Operator: Thank you. Our next question today is coming from Jay Harris from Goldsmith & Harris. Please proceed with your question. (Operator Instructions)
Jay Harris - Goldsmith & Harris: Anyway, I would like to go back to ATM. Didn’t quite understand the last, the answer you gave to the last questioner. Are there alternative methods of injecting fuel into cylinders then these high pressure fuel rails and are there other companies that provide the high pressure fuel rails.
Edward Crawford: Well, number one, obviously there is competition in the world. But from a viewpoint of, let's say a General Motors, they have one supplier in this particular -- maybe they would like to have two or three but this has come on pretty quickly. So, yes, there is competition. But in my due diligence and in dealing with all of our customers that are there and have three and four and five-year commitments to us, I wasn’t hearing anybody else's name being thrown around primarily because I think this company is known and has been key to developing this system. And will it beat competition, of course. But this is new technology. It's just coming on and it really will explode really at the beginning of this year. We are ramping up. We are at the very very beginning of this run in gas injection. So is their someone? I can't name one person and I spent six months working on this making the acquisition. And but they are out there, I am sure, in Japan or someplace. And it's not significant at this point.
Jay Harris - Goldsmith & Harris: All right. Second question...
Edward Crawford: We could never give -- we could never deduce enough if this is accepted. Particularly, keep in mind, China follows, everything that’s done in China is done the American way. It's not so in Europe. But gas injection will ultimately be in China in the cars there and no one is even talking about that yet. We are talking about big three and it's really been adopted by Ford and by GM and Chrysler is coming up very quickly. If Chrysler comes into the picture and goes gas injection, I hope we can keep up.
Jay Harris - Goldsmith & Harris: What are the German producers doing?
Edward Crawford: They don’t use this gas injection system.
Jay Harris - Goldsmith & Harris: Okay. Excellent. Good answer. I was a little confused on the accounting issue of borrowed funds to make the acquisitions in Europe. Could Scott go over that briefly?
Edward Crawford: Sure. Scott?
Jay Harris - Goldsmith & Harris: In other words, you're borrowing money and your borrowed money in what currency?
Scott Emerick: So we actually have a centralized cash structure in Europe and its base in Ireland. And Ireland is a U.S. dollar functional currency entity. So we had international cash buildup to do some of the acquisitions in the fourth quarter last year. It was a great opportunity to effectively utilize that cash that we had internationally. So we created some tax efficient methods to do some intercompany borrowings between the U.K. and the Irish company that’s in U.S. dollars. The U.K. business is a functional currency in British pounds. So our strategy all along Jay, was to pay those intercompany loans back. Accounting rules tell you, if you have permanent intercompany loans, you can take currency swings to shareholders equity as a cumulative adjustment. But when you have intents to pay back, because we actually want to centralize the cash and make other acquisitions down the road, Jay. Because we have that intentions, the rules say whenever there is currency swing, we have to take the gains and losses through the income statement. And that’s what's happening. That they are non-cash (indiscernible).
Jay Harris - Goldsmith & Harris: I understand what you just said. But did you borrow pound sterling?
Scott Emerick: Jay, these were just inter-company loans and we denominated the loans in pound sterling. But again it was all from cash sources.
Jay Harris - Goldsmith & Harris: And the pound has increased in value versus the dollar, is that what the issue is?
Scott Emerick: The U.S. dollar strengthened against the pound, Jay.
Jay Harris - Goldsmith & Harris: Well, if you borrowed in pound sterling and the U.S. dollar strengthened against the pound, you owe less dollars?
Scott Emerick: Jay, let's take this one offline one-on-one. I can explain all the accounting [process] (ph) and walk you through it.
Jay Harris - Goldsmith & Harris: All right. Your tax rates of mid-30%, is that going to change going forward looking into next year significantly?
Scott Emerick: Yes. Jay, it's Scott again. Again, with some of the international growth we did expect our rates to fall prospectively. This third quarter we did run into some discrete issues and we did run into an issue where we looked at who was contributing our earnings for the first three quarters. And we had some estimates built in where we thought more would be contributed internationally. But we have had some strong domestic earnings results. So it did impact our rate year to date. But on a prospective basis as we continue to look internationally, you just have to weigh where we are growing globally as we do acquisitions. And we just put on a large domestic acquisition. So that puts on some pressure to the rate on a prospective basis. So it is a product of how we grow.
Jay Harris - Goldsmith & Harris: Understood. I just wondered whether we would be at a mid-30% rate in...?
Scott Emerick: It's a fair assumption, Jay. Very fair assumption.
Jay Harris - Goldsmith & Harris: Okay. And then finally, roughly how large is your aluminum operation today on an annualized basis?
Edward Crawford: Historically we have never commented within the silo or within one of the components of the revenues, have split down on an individual basis. So we wouldn't comment at that at this point. Although it's increasing.
Operator: Thank you. Our final question today is coming from [John Bom] a private investor. Please proceed with your question.
Unidentified Participant: Very nice report. Very transparent press release. We appreciate all the information. A quick question -- go ahead, Eddy.
Edward Crawford: No, that’s right. I am just glad to have you aboard.
Unidentified Participant: Just quick overall question then I will hang up and listen. I am not going to guess which way commodity prices are going but if we do see a true adjustment on the price of a (indiscernible) say down to 80, perhaps even lower on a longer term. How would that impact the business going forward, both positively and negatively? Thank you, again.
Matthew Crawford: John, I will take a swing at that. And we will talk about sort of short-term and long-term. Clearly one of the short-term opportunities for margin enhancement is taking advantage of some of this volatility. One of the things we have been working on pretty hard right now is understanding how to optimize the current natural gas environment, both in the commodity and in the basis. So we are looking for opportunities on the cost to goods side to engage in perhaps longer contracts that we might typically, in order to maximize once again some of that volatility. Obviously mid to long-term, one of the risks is we have invested in technology that goes to fuel efficiency. And to the extent there was a sustained reduction in gasoline prices, that could potentially be a threat to that move. I would only tell you that, from an OEM perspective, and I'm talking about -- when I talk, I am not just talking car. I am talking cars, I'm talking locomotives, you name it. Every transportation industry we engage, which is a lot, has made their bets on increasing fuel efficiency. It's not just for the next three years but for the next 30 years. So I think everybody appreciates, particularly on the energy side, that any short-term volatility is not going to impact the way they are thinking about full efficiency long-term. Might Ford wish, they weren't launching an all-aluminum body F-150 right now with the gas under three bucks, sure, they probably won't. But they are not going to be in in that strategy. Same is true with the locomotive industry, same is true of cost [cost boards] (ph). I know I am focusing mostly on energy because that’s where we have seen the volatility. We have seen some volatility as well in some other commodities like aluminum. As you may recall, John, that’s a straight pasture for us. So it's not something we focus on. On steel particularly steel rod and the fastener business. We have seen a little bit of pressure there. More in terms of lead times. But some of the softness in the international markets on the steel side continues and is providing for opportunity. So that’s a huge question. Have tried to touch on a few of the more important commodities to our business.
Edward Crawford: Yes. And I will give you another view of that. Every time, and when you look at the consumption and use of the gasoline and so forth, and it becomes less and less costly and more and more miles. Matthew is absolutely right. This is a commitment by the consumers of this product to get more miles per gallon, more efficiency. And every time you start thinking like this, I am excited for one reason about this. ATM, gas injection is quite frankly, every time they challenge us little in a combustion engine, which was built -- you know Henry Ford built them. It was six-cylinder, four-cylinders. Every time they come close with gas, natural gas, closing in on it, that there is not going to be no more cars on the gas, everything is going to be electric. They figure out how to make the engine even better. So they can make them smaller, more powerful. This is all about turbo-charging injection. So it's not over yet. I mean they are going to produce fewer engines. I think General Motors is going from at one time 28 engines to 18 engines to 8 engines. And they are going to have gas injection and turbo- charging at them. And so this is a commitment way beyond miles per gallon. This is a commitment to making more money, while lighter cars, more performance and fewer components. So you got to be there at the right place. But I don’t think it will, it really is going to affect us. Because if they use less gas, they can't still get rid of the gas. You have got to get the gas in the tank. It's so many miles per gallon. So that’s the thing, you still need the gas injection. You still need the turbo-charging. You still need the aluminum body. So if it uses less gas and the gas is cheaper, it doesn’t affect us.
Unidentified Participant: Very good, guys. I know you are all over it. Again appreciate your long term efforts and thank you very much.
Edward Crawford: Thank you. Well, I will thank everyone for taking the time to listen to the third quarter performance. Again, we are guardedly optimistic over here. We feel everything is where we would like it. And don’t give up on capital equipment business, it's on its way and just a little bit longer. But its acquisition is good. We have been very disciplined. We did not buy something and over pay for it. We are hoping to do more acquisitions in the future and they will be strategically thought out and be complementary to what we have. Again, thank you and have a nice day.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.